Executives: Chris Witty - Investor Relations Mark Cola - President and CEO
Operator: Good morning and welcome to the Sigma Labs Second Quarter Fiscal 2016 Earnings Conference Call. All participants will be in a listen-only mode [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Chris Witty. Please go ahead, sir.
Chris Witty: Good day, ladies and gentlemen and welcome to the Sigma Labs’ second quarter conference call. Following management's prepared remarks, we'll hold a Q&A session. With me today is Mark Cola, the company's President and CEO. I would now like to provide a brief Safe Harbor statement, which is also shown on slide 2 of our second quarter presentation, which is being webcast. This conference call may include forward-looking statements that represent the company's expectations and beliefs concerning future events that involve risks and uncertainties and may cause the company's actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company's expectations are disclosed in this conference call and in the company's Annual Report and Form 10-K for the fiscal year ended December 31, 2015. All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise after the date of this conference call. Please now turn to slide 3 of the presentation. And I would like to turn the call over to CEO, Mark Cola. Mark?
Mark Cola: Thank you, Chris. Good morning, ladies and gentlemen and thank you all for joining us this morning. I’d like to walk through a few prepared slides, give you some of the recent highlights, business outlook and financial update and outlook going forward. And then I'll open it up, so we can have a Q&A session.  So with that in mind, as Chris mentioned, if you've got the slide deck in front of you, if you’d turn to slide 3. I’d like to review some of the recent highlights that we've had during the second quarter. Starting off first with the revenue picture, it declined for us year-over-year and again, this was primarily due to some delayed timing issues with some contract awards and revenue recognition, but yet year-to-date, overall, the revenue was up about 18% for the company. So we’re pleased with that.  I also wanted to make note of here that we’re very pleased to announce that aerospace and defense leader, Woodward has joined our early adopter program and we’re scheduling to install their first PrintRite3D system along with their new 3D metal printer from EOS in the month of September, and this is up at their Air Turbines division up in Zeeland, Michigan, outside of Grand Rapids. So we’re very pleased to have Woodward, it's a great opportunity for us and they’re excited to begin to build their quality infrastructure around our PrintRite3D technology.  Also, this quarter, I wanted to make mention of the fact that we have, Murray Williams has joined us as the CFO for the company. We’re excited to have Murray on board, he brings lots of exponential knowledge and experience over a few decades in the financial and entrepreneurial arena. Murray has served on several public and private companies and was a founder of Buy.com. We’re very pleased to have Murray join us and add to our already expanding executive management team. So with that, I think just the final recent highlights is, we continue to make scheduled events. We've been invited speakers at several industry events. We continue to attend tradeshows and as well as other sort of meetings, whether they’re programmatic and keep us in front of potential customers as well as other leading industry events. And so we’re very pleased that we continue to be recognized as a leader in this space and invited speaker. So with that, let's move on to slide four. There is a bit I’d like to review with you in terms of the business outlook going forward. I think in general, the majority of the first set of bullets here under, on the large market opportunities remaining, the 3D metal printing arena has witnessed not just by all those in 2015, but now there is a recent 2016 report out. The forecasts remain extremely positive. I mean, there is double and triple digit growth in some of these areas with respect to metal printing and these OEMs again, particularly in the aerospace and defense and biomedical is right up there as well, continue to acknowledge the need and have, as Woodward has, begun to take steps to address the quality assurance aspects of their 3D printing process and so we’re pleased with the pull if you will, the technology pull we’re seeing from these early adopter customers of ours.  And then again with respect specifically to the PrintRite3D, we have relationships with the companies that are of course listed here, GE and Honeywell and continue to expand in those areas. A lot of our customers at the moment request anonymity. They prefer that we not announce we’re working with them and of course we respect that request for confidentiality. And so that's why a lot of the activities you hear or see generally are sans their names for the moment until we get a bit further down the path with them.  And the early adopter program is still out there. We’re still excited, we have considerable interest in that program from customers, some of which we've announced, others which we can't talk about and as well as not just in North America, but Europe and Asia as well. So we’re continuing to see the industry mature. It’s the 3D metal printing industry and as customers move away from traditional inspection technologies and realize the enabling technology that PrintRite affords them, we’re very pleased with the progress we’re making there.  And then I think just in general, regarding strategic partnerships and alliances, we continue to engage as appropriate partners and industry partners I should say that basically add to and enhance the product offering, Sigma has as well as theirs and so we previously had announced 3DSIM as a good example and we’re in discussions with others at the moment that I’m not at liberty to discuss. So with that, I think let's move onto slide 5 and just quickly go over sort of the financial position and outlook for the company right now. So we ended the second quarter with approximately $0.6 million in cash and equivalents, approximately $ 1.6 million in stockholder equity and we continue to hold no debt. We have been very active in terms of our bidding and quoting process, both on the PrintRite3D division’s activities as well as the contract AM side. We are expecting some of these delays that have put off the revenue generation for the second quarter to look more favorable in the latter half of the year. And again, we’re continuing to leverage our existing relationships with our customers in North America and overseas, which we’re penetrating new markets moving beyond the aerospace and defense, as some of these other market segments finally beside to take the plunge if you will into the 3D printing world.  And I think with that, that pretty much summarizes the second quarter. We've had no short of activities and I believe it’s setting us up for an interesting second half of the year. And so with that, slide six, I like to just say thank you again. We really appreciate all your support as shareholders and we’re looking to a much better future in the second half of the year. So I think with that, I’d like to just pause, let you collect your thoughts for a minute and then I’d be more than happy to answer any and all questions you might have.
Operator:
Mark Cola: All right. Well, thank you. I appreciate again your support and as we continue to make progress with the commercialization of our PrintRite technology and growth in our contract AM side of the business, and if there is no other questions, I think I’d like to say thank you and we’ll talk again at the next quarterly call. Thank you very much, ladies and gentlemen, and have a great day.
Operator: This concludes today's presentation. You may now disconnect the lines.